Operator: Welcome to Bank7 Corp's fourth-quarter and full year earnings call. [Operator Instructions]. Please note this event is being recorded. Before we get started, I'd like to highlight the legal information and disclaimer on page 24 of the investor presentation. For those who do not have access to the presentation, management is going to discuss certain topics that contain forward-looking information, which is based on management's beliefs as well as assumptions made by and information currently available to management. Although management believes that the expectations reflected in such forward-looking statements are reasonable, they can give no assurance that such expectations will prove to be correct. Such statements are subject to certain risks, uncertainties and assumptions, including, among other things, the direct and indirect effects of economic conditions on interest rates, credit quality, loan demand liquidity and monetary and supervisory policies of banking regulators should one or more of these risks materialize or should underlying assumptions prove incorrect, actual results may vary materially from those expected. Also, please note that this conference call contains references to non-GAAP financial measures. You can find reconciliations of these non-GAAP financial measures to GAAP financial measures in an eight K that was filed this morning by the company representing the company. On today's call, we have Brad Haines, Chairman; Tom Travis, Vice Chairman and CEO; J. T. Phillips, Chief Operating Officer; Jason Estes, Chief Credit Officer; Kelly Harris, Chief Financial Officer, and myself. I will turn the call over to Tom Travis. Please go ahead.
Thomas Travis: Thank you. Good morning, everyone. It's a beautiful day here in Oklahoma City to those of you that are around the country. We've had a cold spell of weather that is a nice to be over with. As you can see, we had signaled in our last earnings call back in late October that we had subsequent events post the third-quarter closing that were going to affect, significantly affect, the fourth quarter numbers. And as you can see, that in fact, did happen. And so I suppose that it reminds me of a comment I've heard before, and I think everyone on the call has heard before, and that is, except for the one event, how was the play, Mrs. Lincoln? And not to be morbid, but that's pretty much how we view our company today because when you look at the totality of the fundamentals of the company for the year, but for that one event, it was a phenomenal year. And when you when you evaluate what we say is a phenomenal year, even with the large charge related to the one credit, we're still at almost 19.5% return on tangible common equity actually had average tangible common equity, and we did some analytics about three weeks ago, and we use the first three months or first nine months of the year and done about 90% of the banks in the country. It did not make 19.5% return on average tangible common equity. So as you can see and as we mentioned in the last earnings call in a perverse way. The strength of the Company is highlighted by the fact that we took this significantly one-off out of character negative event and just kept right on moving forward. And so that's the way we view it, and we take comfort in that. And if you look at the other components of the company and not just the earnings and the return on equity. You can see that the Company has done an excellent job of managing its net interest margin. The historical averages of the net interest margin are pretty much where we are today, and we did that through a pretty difficult rate environment, but not for that one credit. The credit metrics are really strong and even better than they had been for the prior year or two. And so we feel really good about the book. The interest, the operating expenses for the Company are very much intact as far as maintaining our efficiency ratio. And the one comment I would make is that the company as a part of that one credit, we acquired a couple of handfuls of oil and gas wells. We did not acquire a company. We acquired specific working interest in oil and gas wells. And as a result of that, you'll see a slightly inflated noninterest income number. You'll also see a slightly inflated noninterest expense number. And so if you remove those two items out of the income statement, you will have you would have seen that the efficiency ratio would still be in that 33% to 34% range instead of a 39% range. And so when we look at the fundamentals of the Company, we feel really good about it. I would say that with regard to the one particular one-off credit, we are in the seventh or eighth inning of the bankruptcy process in litigation, we have real strong clarity and good optics into where we think it's going to end up. We feel good about the amount of money that's been either expensed or set aside relative to some certainty. Clearly, we don't feel good about having to do it. However, we are confident that we've accounted for what we need to account for. And with regard to that credit with regard to the bankruptcy -- with regard to the litigation, we're a very transparent company. We always answer every question we can. However, we cannot really speak much to it than we need to be respectful of the fact that some details and specifics are in the public realm here today. And so we're not really going to comment much beyond what's been said today, other than we feel like we've accounted for it properly. And so with all that being said, we feel really good about our company, and we're excited to move forward into this new year. And with that, we'll open it up for questions.
Operator: [Operator Instructions]. Our first question will come from Brady Gailey of KBW.
Brady Gailey: Thank you. Good morning, guys, or anyone. So I understand the impact of owning these energy assets and it's pushing up the income, it's pushing up expenses. How long do you anticipate owning these assets? Is this going to be a short term then? Or is this something that you anticipate holding for a while?
Thomas Travis: This is Tom and I've got I'll give you the approximate numbers, but I have the exact numbers in my lap, but just to make it easy for you. So we booked approximately $16.9 million of an asset value on the balance sheet and the effective date and cash flow of the wells started September the 1st of last year. And so when you look at the starting point of the balance sheet of $16.9 million for the first four months, we will have collected $4.5 million. So the new asset or the actual cash flow that results from that is about $12.4 million. So we will have collected for the first four months and most of which we have collected 27% of that asset value. So then when you think about cash flow for 2024. The cumulative cash flow for at the end of this year is projected to be 60%. So in math, that means we will have collected $10.2 million of the 16.9. And then if you want to roll that forward for through 2025, we will have collected 13.2 of the 16.9 which is about 78% of the cash flow. And for anyone on the call that's not familiar, the cash flows from producing oil and gas wells is not a linear decline curve. It's skewed more heavily towards more the more recent months. And so as you collected cash flow, the asset value will come down much more quickly in the early months and then smoothed out. And so the bottom line is that, again, we will have collected a little over 25% of the cash flows of that beginning asset value by now and then by the end of the year, 60%. And so we expect it's already not a material amount relative to the company, but we will expect by the end of the year to be pretty immaterial ArCom motor.
Brady Gailey: That's the plan. And there's not a thought of just simply selling these assets more near term, if possible.
Thomas Travis: I will tell you that and we have hedged the about was 62% of the oil JV from oil revenue. So this is predominantly oil and not natural gas. And so we have hedged to make sure that we can receive the most of the cash flows, if not all of it. And so it is possible if you saw an increase in if commodity prices in the market would value the assets higher. It's possible we could sell and Parker on.
Brady Gailey: And then maybe back or looking at the core fundamentals of the bank, which were pretty impressive in the quarter. How are you guys thinking about loan growth from here? And what's the outlook for the core net interest margin?
Jason Estes: Hi, Brady. This is Jason. I think again, kind of like last year at this time, we were sitting here coming off of a really rapid growth in 2022. And we signaled, hey, this is going to be a different year, we think it will be more like a mid moderate single digit. I think we ended up at 7%. I think something in that range is probably reasonable to expect for this year from I think we've got a fair amount of known payoffs coming in the first half of the year, expected known quantified payoffs. The deal pipeline is still nice We booked about $90 million of new fundings in the fourth quarter, which was a nice solid quarter. And so it looks like first quarter pipeline is decent, but with those known payoffs. You know, I think we'll be pretty muted in the first half of the year and picking up in the second half.
Thomas Travis: I would also note that we would have to signal that the large energy credit paydown and payoff has been delayed somewhat because of the bankruptcy. So you could likely see a little bit higher payoff amount in the first quarter. And due to that, then you would normally see.
Brady Gailey: Right, that's helpful. And then the core margin, it's been pretty consistent around 40 50 for the back half of 23. Is that how we should think about it going forward? Or do you think that there could be some slippage there?
Kelly Harris: Hey, Brady, this is Kelly. If you look at December NIM, we were at 4.45% average 4.50% for the quarter. We do have a large tranche of US treasuries that mature at the end of February that that will move to a higher yielding asset of 5.33%, assuming the Fed. And so you will see there's some positive events that will occur during the quarter that should lift NIM., and that's it no color on what the Fed's going to do in March as well as then fighting paydowns.
Thomas Travis: That's a good recap, Kelly. I would say I would use the word delighted, but not surprised. We are delighted with our Company's ability to manage the NIM. through the interest rate cycle. We're not surprised about it we've purposely worked very hard to match the balance sheet so that we're not caught with interest rate swings and wild fluctuations. And so as we are prone to say on a regular basis. We are pleased with our ability to illustrate a name that's very steady irrespective of the changes in the interest rate markets, and we don't see that changing.
Brady Gailey: And then just finally for me, Kelly, what's the size of those treasuries that are rolling off and what's the rate there?
Kelly Harris: $100 million at 1.5%.
Brady Gailey: Okay, great.
Operator: Next question comes from Nathan Race of Piper Sandler.
Nathan Race: Hey, good morning. Sorry again, I just want to clarify on the last point around the securities that are maturing in the first quarter. Is the plan just to leave those in cash? Or do you guys plan on redeploying that into securities in the first half of the year, just leaving it for some dry powder to redeploy into loans. As Jason described earlier, we're not going to we're not going to speculate.
Thomas Travis: It's obviously it's tempting to believe that we're at the end of a rate cycle. And however, as we all know that I think the wise thing for anyone to do is to not speculate and think you know, and so we're going to take advantage of the yield curve inversion. And I think today the 10-year somewhere around what is it 4.1 and the Fed's still over 5%. So I think our belief is that we'll put it at the Fed and and kind of stay away from any kind of a fixing in and tried to anticipate rates dropping. I think you also remember that liquidity is a real important function of the bank and part of the Rubik's cube. And so $100 million sounds like a lot of money, but it's really not relative to the movements on the balance sheet relative to loans and liquidity. So keeping it short and then cash will benefit us on the yield curve side that also maintains that strength and flexibility for liquidity and cash.
Nathan Race: Okay. Got it. That's helpful. Tom, just curious how you guys are thinking about deposit betas and pricing on the way down you have to get a few Fed rate cuts at some point this year. How do you see that impacting the margin and just kind of overall the trajectory and an eye over the course of 2024.
Thomas Travis: I mean, Kelly or Jason, you want to talk about we've budgeted pretty similar for where we are?
Kelly Harris: Yes, I think if you look at our historical them to various rate cycles. We've been able to manage it and manage it down at all, foresee that being any different. And so if the Fed cuts and we'll be able to push down the deposit rates in tandem with the asset side.
Thomas Travis: You want to add to that, Jason?
Jason Estes: No other than we spend a lot of time on these calls talking about Unum and growth rates, and they're very important things. And I think if you look at our history, we've proven that we're not willing to sacrifice margins for the sake of growth. And so I think you're going to see our discipline just like it was there last year. It's going to continue to be the same, right? We're going to work as hard as we can to maintain it top-tier profitability while we grow this Company.
Nathan Race: Got it. Very helpful. Makes sense. Just one last one for me on kind of excess capital priorities into this year. You guys are operating with pretty healthy capital levels across the board. So just curious, you know what you're seeing in terms of acquisition opportunities and just kind of your optimum Unisom level on that front?
Thomas Travis: I would say that we are laser focused on acquisition opportunities and it takes laser focus because there's still a healthy amount of what we call the zombie banks. And I think you guys do too. And and we we continue to have conversations. We are making calls on people that are not for sale. We're planting seeds and we are constantly evaluating everything we can. And it's probably going to be a tougher environment for the next two or three or four months for or just this tough of environment, I should say then if rates do start coming down, some of the quote, zombie banks may have an ability to sell. And so you might see a little flurry there in the back half of the year if the rates come down. And so our goal is to position ourselves and trying to be there when we can to do so that we can buy in. And we definitely are we definitely have a mindset to do that.
Nathan Race: Got it. That's great. And if I'm if I could squeeze actually one last one in, just curious, Jason, maybe in terms of overall migration trends in criticized and classified in the quarter outside of the one energy loan that we've touched on?
Jason Estes: Yes, yes. So the quarter, as Tom mentioned in his opening comments, you know, the credit quality of the book, the metrics have actually improved outside of this one credit, not that they were bad other than this deal. But yes, I think if you recall a couple of years ago, we had another charge off that that loan paid in full during the quarter, the remainder of it. And so the balance we had left has all paid off and it's gone. And then we had another NPA we've been carrying that's about 34% of the NPA balance at the end of the year. And we're optimistic that that thing could be off of that list here in the maybe even in the first quarter. And so we're not seeing stress throughout the portfolio that That being said, you know, we've got it. Medical relationship has migrated down and about $10 million altogether, but it's more going positive than there has been negative for the last couple of quarters outside of the one credit.
Brady Gailey: Got you. And just within that context, do you kind of envision the reserve kind of remaining where it was commodity end of the year relative to loans? Or do you guys kind of see it as kind of an overinflated level, just given some of the credit events that occurred late last year?
Jason Estes: I would say it's probably overinflated of our historical range and where we strive to keep it. But I think it's warranted based on what's transpired in the last couple of quarters.
Brady Gailey: Okay, great. I appreciate the color. Thank you.
Operator: Next question comes from Matt Olney of Stephens.
Matt Olney: Thanks, guys.
Thomas Travis: Good morning.
Matt Olney: Do you guys have the dollar amount of the charge off for the fourth quarter? I didn't see that one.
Kelly Harris: This is Kelly. The other total NCO for the quarter was $16.5 million.
Matt Olney: Okay, perfect. Thank you, Kelly. And then on the deposit side, on really strong noninterest-bearing deposits in the fourth quarter, any color on the growth there? And then you hit on the betas earlier, but just the appetite to grow deposit balances for the year?
Kelly Harris: Well, the non-interest bearing will come down a little bit in the early part of the year. We have a few large, significant non-interest bearing deposits that occurred later in the last year, and we expect some of that to run off. And so we don't we don't believe that the bearing deposits are going to show much absolute growth from the prior year because of that inflated number that came in late in the late last year. So now relative to you know, if you take those few deposits out, we would expect to do what we've always done. And that is a nice, steady growth in our deposit book and our relationship deposits. Our bankers are doing a really nice job of of making loans when we have new deposit relationships. And so we don't expect there to be much, much different if at all in the way we operate going forward, I think it's probably fair to say we're still seeing some migration where people are moving, what were non-interest-bearing accounts over into some interest bearing products. And that's been ongoing ever since the rate this last rate cycle moving up started.
Matt Olney: Okay. That makes sense. And then just as far as the rate sensitivity. You give us some good details there. On slide 4, it looks like about 78% of your on the earning assets reprice in that 1st year. Just within the loans and that's it. It seems like most of those that were priced at first, you're going to be floaters that reprice in the first few weeks after a Fed cut is that right? Or any color on kind of what percent of those loans are floaters?
Kelly Harris: Yes. I think if you look at the first footnote on that same page, Matt, of that million 43 in loans and that less than a year $901 million are daily floaters. And of that, you've got $86 million at the ceiling.
Thomas Travis: So roughly what 90% of that total that was you said that make this$1 billion in loans are floaters. Yes. And look, I think we always have to remember not saying that people don't, but we are very active in managing our floors. And so that's part and parcel to the stability in the NIMA., the historical illustration that we show you in our ability to maintain that now. So yes, they'll float down, but at some point, we start hitting floors. And that's a big component of our of our bank.
Matt Olney: Yes. Okay. Good points on. And then on expenses and fees, any any color on the way you're thinking about that in 2024?
Thomas Travis: If we just remove the oil and gas assets that you mentioned before. We're proud of that. We if you look at the expense load for the bank and you take out the oil and gas impact and am I right, Kelly, it was 33% efficiency ratio. And if you look at the expenses due to the size of the bank, and we feel really good about our ability to manage our expenses. And I think that's been proven over the over the years and nothing is going to change. We are spending a little bit of money to upgrade and relocate a few fixed assets, but that really won't show up until very late in the year and probably really not until next year because it just takes a while to construct a few branches. So but even with that, we don't expect the expense load of the bank to change in a meaningful way.
Brady Gailey: Okay, guys, thanks for your help.
Operator: Yes, this concludes our question and answer session. I would like to turn the conference back. I'm going to Tom Travis for any closing remarks.
Thomas Travis: Thank you. Again, we're pleased with our position of our company and our results. And we're especially pleased to move past that one-off event and it's in the rearview mirror, and we've shown the ability to to manage through that and still produce good results. And we're really excited about this year and excited to just get right back on track to those really, truly strong strong numbers. And Doug, we appreciate everyone's participation and involvement.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.